Operator: Good morning, and welcome to the Service Properties Trust Fourth Quarter 2022 Earnings Conference Call. All participants will be in a listen-only mode. [Operator Instructions] After today's presentation, there will be an opportunity to ask questions. [Operator Instructions] I would now like to turn the conference over to Mr. Stephen Colbert, Director of Investor Relations. Please go ahead, sir.
Stephen Colbert: Good morning. Joining me on today's call are Todd Hargreaves, President and Chief Investment Officer; and Brian Donley, Treasurer and Chief Financial Officer. Today's call includes a presentation by management followed by a question-and-answer session with analysts. Please note that the recording, retransmission and transcription of today's conference call is prohibited without the prior written consent of SVC. I'd like to point out that today's conference call contains forward-looking statements within the meaning of the Private Securities Litigation Reform Act of 1995 and other securities laws. These forward-looking statements are based on SVC's present beliefs and expectations as of today, March 1, 2023. The company undertakes no obligation to revise or publicly release the results of any revision to the forward-looking statements made in today's conference call other than as required by law. In addition, this call may contain non-GAAP financial measures, including normalized funds from operations, or normalized FFO, and adjusted EBITDAre. Reconciliations of these non-GAAP financial measures to net income as well as components to calculate AFFO are available in our supplemental package found in the Investor Relations section of the company's website. Actual results may differ materially from those projected in these forward-looking statements. Additional information concerning factors that could cause those differences is contained in our Form 10-K on file with the SEC and in our supplemental operating and financial data found on our website at www.svcreit.com. And with that, I'll turn the call over to Todd.
Todd Hargreaves: Thank you, Stephen, and good morning. Our fourth quarter results are highlighted by the ongoing improvement in our hotel portfolio, as comparable hotel RevPAR increased by 21.4% versus the prior year period, with ADR up 14.5% and occupancy increasing by 3.3 percentage points, leading to a 98.3% increase in comparable hotel EBITDA over the same period last year. The continued recovery of SVC's urban full-service and suburban select service hotels contributed to the improvement as travel maintained its pace of recovery, consistent with typical seasonality and business-related travel reflected more in-person engagements. Combined with the steady performance of our leisure and extended stay hotels, room rates again surpassed 2019 figures in the fourth quarter. Notably, our full-service portfolio RevPAR for the quarter increased by 31.1% from 2021 levels, largely driven through ADR increases in many of our leisure and urban hotels. Our hotels in Fort Lauderdale, Hilton Head, Chicago, Miami and Kauai led the strong performance of our full-service segment, which achieved aggregate ADR of $174.48 during the quarter, 14.5% above 2021 fourth quarter levels. While the overall performance of our select service portfolio remains behind our other service levels, we are encouraged that Q4 RevPAR of our scaled-down post-disposition portfolio of 45 Sonesta Select branded hotels improved 25% versus the same quarter last year, outpacing any other SVC-focused service brand and 8.7 percentage points above total nationwide industry growth. In terms of segmentation, group mix was 16.6% in the fourth quarter, up from 12% during the previous-year quarter and above 2019 levels of 14.5%. This increase was broadly attributable to increased demand for corporate, association and citywide group business, particularly in Philadelphia, New Orleans and Houston. Revenues as a percentage of total room revenue for the more costly OTA channels decreased from 30.8% in Q4 2021 to 26.4% in Q4 2022. Inflationary pressures seen across the economy are continuing to impact hotel-level operating expenses related to utilities, insurance and specifically labor. Our operators remain focused on reducing the reliance on more expensive, less efficient contract labor and increasing permanent staffing levels, measures which we will -- expect will result in helping to offset some of these labor cost pressures during 2023. Our largest hotel operator, Sonesta, continues to establish itself as a leader in the North American lodging sector, and we expect SVC to benefit as it increases its brand awareness with national corporations as well as business and leisure travelers. Sonesta recently launched a multimillion-dollar advertising campaign, and this loyalty program is gaining momentum with Travel Pass revenues as a percent of total revenue increasing from 13.6% in 2021 to 21.2% in 2022. Travel Pass ADR increased 22.1% year-over-year and room nights nearly doubled over the same time frame. As referenced earlier, looking at the bottom line, SVC's Q4 hotel EBITDA increased by 98.3% year-over-year, largely a result of the performance of some of SVC's premier destination hotels in what we view as some of our flagship lodging assets. Our Royal Sonestas in Kauai, Boston, Chicago Downtown and New Orleans, all of which contributed heavily to SVC's year-over-year EBITDA improvement. Turning to our net lease portfolio, which represents 45% of SVC's portfolio by gross assets. As of December 31, 2022, we owned 765 service-oriented retail net lease properties, including our travel centers, with 13.4 million square feet. Our net lease assets were 98% leased by 180 tenants with a weighted average lease term of 9.6 years and operating under 138 brands in 21 distinct industries as of quarter end. The aggregate coverage of our net lease portfolio's minimum rents was 3.0 times on a trailing 12-month basis as of December 31, 2022, an increase versus the same period last year and an improvement from 2.88 times in the third quarter. For TA, our largest tenant, site level coverage on a trailing 12-month basis was 2.74 times, up from 2.4 times last quarter, and TA reported another extremely strong quarter last night. We have 271,000 square feet of leases expiring in 2023, representing only 0.6% of our net lease rents. This includes five tenants across multiple properties known to be vacating, representing $732,000 of annual revenue. We are evaluating various options for the known vacates, which includes re-leasing, redevelopment and marketing for sale. As announced last month, the acquisition of TA by BP, upon completion, will be extremely positive for SVC as the revised lease agreements we negotiated will not only provide $379.3 million in upfront funds, but will also significantly enhance the credit quality of our core travel center tenant, providing long-term investment-grade cash flows with fixed increases that we expect will result in a meaningful increase to FFO from prior levels. Before turning it over to Brian, as we have now wrapped up the fourth quarter and moved on to 2023, I would like to take a minute to summarize some of the accomplishments SVC achieved during 2022 and the early part of 2023. We substantially completed the disposition of approximately 20% of our hotel portfolio in an extremely challenging market to sell properties at our targeted pricing, helping to reduce leverage and improving the overall quality of the portfolio in the process. We improved the overall performance of our hotel portfolio and returned to the necessary levels to regain compliance with our debt covenants earlier than originally anticipated. Overall, we repaid $1.5 billion of debt in 2022. We reinstated a meaningful dividend to shareholders. Our largest hotel operator, Sonesta, continued to establish itself as a leading hotel brand, expanding into New York through its acquisition of four hotels with over 900 keys. We successfully completed a secured financing, monetizing some of our net lease portfolio and retiring our June 2023 debt maturities. Finally, we recently came to an agreement regarding the amendment of our travel center leases in connection with BP's announced acquisition of TA, which, once completed, will provide an improved tenant credit profile and additional liquidity. I will now turn the call over to Brian to discuss our financial results in more detail.
Brian Donley: Thanks, Todd, and good morning. Starting with our consolidated financial results for the fourth quarter of 2022, normalized FFO was $73.3 million or $0.44 per share, a 162% increase over the prior-year quarter. Adjusted EBITDAre was $150.5 million for this quarter, a 26.5% increase over the prior-year quarter. The major drivers impacting normalized FFO over the prior-year quarter included: the improving performance of our hotel portfolio, which generated an additional $25.7 million of hotel EBITDA or a 90% increase over the prior-year quarter; a repayment of $500 million of senior notes in the second quarter and repaying the remaining balance on our revolving credit facility, which was fully drawn as of year-end 2021, resulted in a $14.6 million decline in interest expense. G&A expense declined $3.9 million over the prior year as a result of a $2.4 million decline in business management fees and a $1.5 million decrease in legal and other corporate expenses. Turning to the performance of our hotel portfolio. For our 236 comparable hotels this quarter, RevPAR increased 21.4%, gross operating profit margin percentage increased by 4.1 percentage points to 28.4%, and gross operating profit increased by $31.6 million from the prior-year period. Below the GOP line costs at our comparable hotels increased $4.4 million from the prior year as a result of increased management fees driven by higher revenues at our hotels and an increase in insurance costs. Our consolidated portfolio of 238 hotels generated hotel EBITDA of $54 million, resulting in a net margin of 15.4%. By service level, the increases were driven primarily by improvement in our 49 full-service hotels, which generated $26 million of hotel EBITDA during the quarter compared to just $2.7 million in the prior year quarter. Our 114 extended stay hotels remained steady, generating $21 million of hotel EBITDA during the quarter. Our 75 select service hotels improved, generating hotel EBITDA of $7 million in the fourth quarter, an increase of $3.7 million compared to the prior-year period. The fourth quarter results of our hotels were generally in line with our expectations as we entered seasonally weaker months for the portfolio. January 2023 RevPAR was $65.53 and, as we look to the rest of the first quarter, we're currently projecting full quarter Q1 RevPAR of $70 to $80 and hotel EBITDA projected to be in the $28 million to $35 million range. Turning to the balance sheet. Earlier this month, we successfully executed on a new five-year $610.2 million secured financing with a 5.6% coupon and have provided notice that we will redeem our $500 million of 4.5% senior notes that were originally scheduled to mature in June. Pro forma for these transactions, we have $5.8 billion of fixed rate debt with a weighted average interest rate of 5.1%. Our next debt maturity is $350 million of senior notes maturing in March 2024. We currently have no amounts outstanding on our revolving credit facility, which matures in July of 2023. We have begun discussions with our lenders on a new credit agreement and currently expect the process to recast the line to be completed in the coming months. Turning to investing activity. During the fourth quarter, we sold four hotels for a total price of $25.8 million and two net lease properties for $2.3 million. We have sold eight hotels since year-end for proceeds of $53.3 million, and we are currently under agreement to sell 10 additional hotels for a combined sales price of $103.1 million, which we expect to close by the end of the first quarter. We made $36.8 million of capital improvements at our properties during the fourth quarter, and we currently expect full year 2023 capital expenditures of $200 million to $250 million. Regarding our recent TA announcement, our leases with TA currently require a fixed minimum rent of $243 million over the life of the leases and require a percentage rent on non-fuel revenues, which totaled $10.6 million in 2022. Rents under the amended 10-year term will be set at $254 million with 2% fixed rent increases annually. BP will prepay $188 million of rent and will receive credits of $25 million per year against rents due. In addition to the rent growth we have secured as part of this deal, the transaction will provide SVC $379.3 million of additional liquidity upon closing, including $101.9 million for the TA common shares SVC owns, $89.4 million for the sale of the TA brands to be paid and the $188 million of prepaid rents. We expect the transaction will increase the value of our largest portfolio, which represents 64.8% of our net lease segment and 29.3% of our overall portfolio. Our leases with TA will be backed by BP, which will provide a significant credit enhancement to our tenant base and give us additional financial flexibility going forward. That concludes our prepared remarks. We're ready to open the line up for questions. Thank you.
Operator: Thank you. We will now begin the question-and-answer session. [Operator Instructions] And the first question will come from Bryan Maher with B. Riley Securities. Please go ahead.
Bryan Maher: Thanks. Good morning, Todd and Brian. Just a couple for me. On the asset securitization that you just completed, can you share with us which types of assets you pledged on that? Was it hotels? Was it TAs? Was it net lease? How should we think about that? And going forward, if you use that same structure for your 2024s and your 2025s, do you tend to get a better rate on those depending upon which assets you pledge?
Brian Donley: Thanks, Bryan, and good morning. I'll take that one. So, as far as the assets pledged, it was a mix and cross-section of the entire net lease segment, excluding travel centers, and there were no hotels in that deal. It was all single-tenant net lease properties with a significant concentration of quick-service restaurants, fitness centers, auto change, oil repair shops and that kind of thing. So, really a good cross-section of what we have in the portfolio. As far as going forward, our preference would still be to tap unsecured debt, but the ability to use securitization of the portfolio has been demonstrated and it's something we'll continue to compare and contrast based on market conditions and what we see in rates and spreads in the debt markets.
Bryan Maher: Okay. And in the past, I think maybe a year ago when you came off the first quarter, hotel margins, you provided a bit of an outlook for your expectations for the balance of 2022. Can you share with us what you're thinking about for hotel margins for 2023?
Brian Donley: Yes. I mean, I think, in the prepared remarks, given the outlook for Q1, not for the full year, but we do expect improvement over 2022, and we'll see how the year plays out. But we still think we have room to make up based on the performance starting last year and the ramp-up that really didn't start until Q2 of last year. So, our focus is definitely on the bottom-line and improving margins. That's one of our primary goals this year is to continue to close the gap from where we were in '19 and get back to where we should be.
Bryan Maher: Thanks. And just two more for me. On the hotel dispositions, is that going to continue or are you starting to wind that down? And then, lastly, what are your usage thoughts for the $380 million you'll be getting in a few months?
Todd Hargreaves: Sure. Good morning, Bryan. I'll take the first part of the question. So, we are currently wrapping up the current dispositions. We are -- of the original 68 Sonesta branded hotels that we started to market for sale over a year ago now, we've sold 67 of the 68, and we expect the 68th to close this quarter, later this month. And the 68 Marriott branded hotels, we also expect those to be wrapped up this month. Those -- we're selling to the same buyer group, but we've agreed to close those in three phases. So, we closed the first seven last week, and the next two phases, we expect will close this month. There's no other hotels in the portfolio that we've identified for sale at this time, but that's something we can consider throughout 2023 as we look at our hotel portfolio and the performance overall, but nothing slated at the current time. And some of that too is just driven. It's a tough time to be selling any types of assets right now. So, it's probably not the right time to sell. But it's certainly an option for us down the road. And then, Brian, do you want to...
Brian Donley: Yes. As far as the proceeds and cash we received from the BP deal, it's something we'll continue to discuss with the Board in the coming months. Obviously, we have significant debt maturities coming next year. But whether or not we deploy early or look to invest in opportunistic type investments that could be accretive remains to be seen, but we'll let that play out over the course of the next few quarters.
Bryan Maher: Okay. Thank you.
Todd Hargreaves: Thanks, Bryan.
Operator: [Operator Instructions] Our next question will come from Tyler Batory with Oppenheimer. Please go ahead.
Tyler Batory: Good morning. Thank you. First question, a follow-up on the guidance. If I'm doing my math right, it looks like 10% to 12% roughly net margin in terms of Q1, so did I do that math correctly? And just help us think about what margin in Q1 was like pre-pandemic kind of what you're expecting for operating expenses in Q1 in terms of growth year-over-year?
Brian Donley: Hey, Tyler, good morning. Yes, so the math you've talked through is roughly correct. And we sort of expected January and early February to be weaker, given the seasonality in our portfolio, and it's definitely more so on the occupancy side than the rate side. We expect the portfolio to ramp up fairly quickly as we go into March into early spring. So, we'll see that sort of improve in the coming months. As far as expense pressures, I think we're seeing the same thing everybody is seeing with continued pressure on costs, whether it be labor, utilities and other operating costs. But yes, we're still -- from a margin standpoint, we're still lagging where we were in '19, but we expect that gap to close pretty quickly as we move through the later -- in the middle part of the year.
Tyler Batory: Okay. That's great. In terms of the Sonesta branded hotels, you gave some positive commentary, I thought, in the prepared remarks, but a little more perhaps in terms of brand awareness, RevPAR index, just kind of how Sonesta is doing in the marketplace vis-a-vis some of the other brands out there?
Todd Hargreaves: Sure. Good morning, Tyler. Thanks for the question. Yes, I think Sonesta is very focused on increasing the brand awareness, which is obviously critical. And you look back three, four years ago, Sonesta was only 60 hotels. And through the conversion of some of our owned hotels, the acquisition by Sonesta of the Red Lion franchise platform, the launching of the franchise platform for Sonesta branded hotels, their acquisition of four hotels in New York, they're one of the largest hotel brands in North America. So, it's certainly very critical for them to increase their brand awareness. In January, they did launch a multimillion-dollar digital marketing campaign. So, we expect to start to see the results from that shortly. And there are some other areas that we're tracking as well. There's a lot more business coming from the sonesta.com website, and that takes away the bookings from some of the more costly OTA channels. We're seeing an increase in their Travel Pass usage and the percentage of revenues that they get from their loyalty program. So, we are seeing the results. I think there's still a lot of room to go, which is a positive, but we are seeing all the right things happening. Their -- with RFPs, they're increasing their RFPs requested in RFP business. So, we are starting to see the results of their push on the brand awareness side. The second part of the question, Sonesta has shown the ability to compete on a number of the brands, the Royal Sonesta's Simply Suites, which is a relatively new brand, it's the mid-scale extended-stay brand, they're between 90% and 95% of where they were in 2019 from a RevPAR perspective. We're starting to see a lot of the pickup on the more urban full-service hotels as well. It's a similar commentary to last quarter and the previous quarter. It's the select service, the Sonesta Select brand, which is a new brand for them, where they still have the most room to grow. And I think the reason is kind of twofold. Business travel has not come back. But at the same time, I think Sonesta needs to improve upon their ability to take market share in that segment. So -- and again, they are -- I think I said in the prepared remarks, they've increased RevPAR 25% year-over-year. So, we are seeing the improvement. They still have ways to go, but that's the one brand that continues to be the focus where we don't think we're back to where we need to be yet, but we're optimistic there.
Tyler Batory: Okay. Great. Last one for me. The CapEx guide, $200 million to $250 million is right in line with what we were looking for. Just remind us what's maintenance assumed in that number? And then, kind of what exactly is some of the spending going to be allocated to this year?
Brian Donley: Sure. Yes. So, the maintenance number for our portfolio is roughly $65 million to $75 million for the year. A big part of the spend in '23 will be to renovate our Hyatt portfolio. It's something we had originally slated for 2022 based on cost inflations and scheduling and scoping changes to try to control cost inflation, we pushed it off to '23. So, we're going to do that string of hotels, one Radisson hotel and then about a dozen Sonestas across a couple of different other brand segments for next year.
Tyler Batory: Okay, great. That's all from me. Thank you.
Todd Hargreaves: Thanks, Tyler.
Operator: Your next question will come from Dori Kesten with Wells Fargo. Please go ahead.
Dori Kesten: Thanks. Good morning. Is there anything in the BP amendment that deals with incremental CapEx for that portfolio?
Brian Donley: Hey, Dori, good morning. So, in the historical leases, TA had the option to request SVC reimburse or buy the CapEx that they make at our sites in return for an 8.5% rent increase. That function -- the mechanics of that goes away under the amended agreements. BP has made it clear they're going to invest billions into these sites and they weren't looking to us to pay for that or increase their lease liability. So that feature is no longer part of the leases.
Dori Kesten: Okay. Sorry, just to be clear, so they're going to be paying for this, not you?
Brian Donley: All CapEx at these travel centers will be funded by BP on their own balance sheet.
Dori Kesten: Okay. That's great. And then, I think you were addressing this a little bit in the prior question of the $65 million to $70 million maintenance CapEx. And for the hotels, you'll be spending $200 million to $250 million annually over the next several years, the majority of which, I think, is Sonesta. Can -- I guess, within the Sonesta properties, how much do you view as, I guess, defensive versus offensive over this three-year period? And I guess, what kind of returns would you expect for the more offensive? I just -- I want to make sure that we have the potential upside in our estimates.
Brian Donley: Yes. I'd say, if you back off the $75 million, you're looking at $125 million to $150 million-ish of offensive capital. And we've said in prior commentary that we expect around an 8% return on those dollars.
Dori Kesten: Okay. And then, I know you're not acquiring right now, but I'm sure you're keeping a pulse on what's on the market for hotels and net lease. Can you just talk about cap rates that you're seeing and maybe just the quality and quantity of what is on the market right now?
Todd Hargreaves: Sure. Good morning, Dori. Yes, we are actively evaluating a number of opportunities. We don't have anything under agreement, but we are closely looking at selective assets. We've said in the past that now that we have exposure through Sonesta in New York City, there's a couple of other markets where we think we want to increase our exposure on the hotel side. So, Miami and Los Angeles, there's a number of opportunities that we're looking at. And then, on the net lease side, again, we continue to evaluate a number of opportunities, more kind of portfolio level deals, I think. And from a cap rate perspective, I think, especially over the last -- rates have moved out over the past several weeks. And I think cap rates overall have moved out. We're not seeing -- we've certainly seen a slowdown in overall transaction activity. It doesn't mean deals aren't on the market, but we've certainly seen a slowdown in deals getting done. On the hotel side, I think there's certain markets and certain types of properties. I think there's a lot of interest in both from owners as well as lenders, but there's a lot of deals out there that just are not transacting because the sellers are not getting their -- getting anywhere close to their ask. So, cap rates have certainly moved out in the hotel side and certainly have moved out on the net lease side as well. I mean, there are some properties that tend to -- some of the smaller granular properties go to the 1031 exchange, all cash buyers. I don't think you've seen those move out as much. But generally, I would say, cap rates on the net lease side have moved out maybe 75 basis points. And on the hotel side, I think cap rates have moved out as well. So, it's an interesting time because it's -- there are opportunities out there. So, if the right one presents itself, there's a chance you could see us transact.
Dori Kesten: Okay. Thank you.
Todd Hargreaves: Sure.
Operator: This concludes our question-and-answer session. I would like to turn the conference back over to Mr. Todd Hargreaves, President and Chief Investment Officer, for any closing remarks. Please go ahead, sir.
Todd Hargreaves: Thank you, and thank you, everyone, for joining today's call. We appreciate your continued interest in SVC. Thank you.
Operator: The conference has now concluded. Thank you for attending today's presentation. You may now disconnect.